Operator: Good day, ladies and gentlemen, and welcome to the First Quarter 2018 Agilent Technologies Earnings Conference Call. At this time, all participants are in a listen-only mode. As a reminder, today's program is being recorded. And now, I'd like to introduce your host for today's program, Alicia Rodriguez, Vice President of Investor Relations. Please go ahead.
Alicia Rodriguez - Agilent Technologies, Inc.: Thank you, Jonathan, and welcome, everyone, to Agilent's first quarter conference call for fiscal year 2018. With me are Mike McMullen, Agilent's President and CEO; and Didier Hirsch, Agilent's Senior Vice President and CFO. Joining in the Q&A after Didier's comments will be Patrick Kaltenbach, President of Agilent's Life Sciences and Applied Markets Group; Jacob Thaysen, President of Agilent's Diagnostics and Genomics Group; and Mark Doak, President of the Agilent CrossLab Group. You can find the press release and information to supplement today's discussion on our website at www.investor.agilent.com. While there, please click on the link for financial results under the Financial Information tab. You'll find an investor presentation along with revenue breakouts and currency impact, business segment results and historical financials for Agilent's operations. We will also post a copy of the prepared remarks following this call. Today's comments by Mike and Didier will refer to non-GAAP financial measures. You will find the most directly comparable GAAP financial metrics and reconciliations on our website. Unless otherwise noted, all references to increases or decreases in financial metrics are year-over-year. References to revenue growth are on a core basis. Core revenue growth excludes the impact of currency and acquisitions and divestitures within the past 12 months. Guidance is based on exchange rates as of January 31. We will also make forward-looking statements about the financial performance of the company. These statements are subject to risks and uncertainties and are only valid as of today. The company assumes no obligation to update them. Please look at the company's recent SEC filings for a more complete picture of our risks and other factors. And now, let me turn the call over to Mike.
Michael R. McMullen - Agilent Technologies, Inc.: Thanks, Alicia. Hello, everyone. Thank you for joining us. In today's call, I want to cover our Q1 business results and talk about Agilent's business momentum. Let's start with the business results. I'm happy to report that the Agilent team delivered an outstanding start to 2018. We exceeded our own growth and earnings expectations. We continue to outgrow the market. Q1 revenues of $1.21 billion grew 10% on a core basis, and we continue to improve our operating margins. Adjusted operating margin of 22.5% is up 130 basis points from Q1 of last year. I'm proud to report that this is our 12th consecutive quarter of improving operating margins. The combination of strong revenue growth and continued margin improvements drove an adjusted EPS of $0.66 for the quarter, well above our expectations. Adjusted EPS is up 25% over the first quarter of last year. Now on to Agilent's business momentum. When I use the term momentum, I'm describing strong, broad-based growth for all our businesses as we outgrow the market. In this context, our momentum remains very strong. First, our chemical and energy revenue grew 13% with broad strength in all product categories. Customers are investing across the spectrum of exploration, refining and chemicals. This is the fourth consecutive quarter of double-digit revenue growth in this market segment. After a long period of deferred investment, we are now seeing increased capital expenditures. Pharma is our largest business and had a strong showing of 8% growth. Growth is very solid across instruments, services and consumables in both the biopharma and small molecule market segments. We remain very confident in achieving our 2018 pharma growth objectives. Academia and government sustained its recent trajectory with 11% growth. Growth was driven by strength in China and Europe. Food revenue grew 8% against a difficult compare of 11% in Q1 2017. Europe growth led our strong results with broad-based strength across instruments, services and consumables. Diagnostic and clinical revenue grew 5% as expected, led by strong demand for companion diagnostics and pathology products. Environmental forensics grew 14%. Our forensic business was particularly robust driven by U.S. government purchases. Environmental growth remained healthy with solid demand for GC, GC/MS and ICP/MS. Geographically, China led the gains with strong high teens growth. Europe and the Americas delivered healthy high single-digit growth. Looking at the highlights from our business groups, the Life Sciences and Applied Markets Group delivered core revenue growth of 11%, fueled by double-digit growth in major platforms led by mass spectrometry and cell analysis, demand in Europe and China and broad strength across end markets. On the M&A front, we announced the acquisition of Luxcel Biosciences. Luxcel has developed a portfolio of cell-based assay kits that allow researchers to evaluate cell metabolism and function on standard fluorescent plate readers. This technology is highly complementary to our Seahorse Bioscience offerings and further enhances our position in the fast-growing cell analysis space. Our internal focus on innovation continues to receive external recognition. The Ultivo Triple Quadrupole LC/MS system was recognized as one of the top 2017 innovations by The Analytical Scientist. And, (sic) Instrument Business Outlook recognized Agilent as the Company of the Year in the Life Sciences tools market for our innovation across the company. Agilent's CrossLab Group continued the strong performance with 9% core revenue growth. The Agilent CrossLab strategy, launched three years ago, continues to yield exceptional results. Our services business is focused on supporting customers to deliver greater lab efficiencies. As a result, services growth was strong across all regions and markets. We continue to introduce new capabilities for our customers. For example, we launched Agilent Care which extends and expands solution support beyond the traditional first 90 days of solution ownership. We also expanded the CrossLab Service Guarantee to our multi-vendor service business. If an Agilent instrument under contract cannot be repaired, it'll be replaced with the Agilent equivalent. This improves confidence in Agilent as a customer focused service provider for multivendor instruments. This guarantee differentiates Agilent from our competitors and in the eyes of our customers. Fueled by our innovation investment, our consumables business was strong across both chemistries and supplies. Recently introduced new products and biopharma applications are making a difference in our reported growth. Agilent's Captiva Enhanced Matrix Removal-Lipid technology is one example. The Analytical Scientist also recognized it as a top 2017 innovation. Our digital investments are delivering new capability to our customers. We have deployed groundbreaking e-commerce initiatives such as e-renewal of support contracts, making it easier for customers to do business with Agilent. The Diagnostics and Genomics Group also delivered strong core revenue growth of 8%. Demand continued to be healthy for our pathology products and companion diagnostic services. We continue to bring compelling new offerings to our customers. We shipped our first comparative genomic hybridization assay for diagnostic use in the U.S., GenetiSure Dx Postnatal Assay this quarter. We also made available to customers CRISPR activation and interference libraries. Targeted at the research community, these libraries use state-of-the-art validated gene targets that enable easy and a flexible implementation of targeted functional assays for the entire genome. Now, looking ahead, a few comments on our updated outlook for the rest of the year. We continue to take a quarter-by-quarter look at the business and stand ready to raise our full-year guidance as business conditions remain favorable. As such, we are now raising our full-year growth and earnings guidance with our strong Q1 in the books. Didier will share the specifics of the updated guidance, inclusive of the forecasted impact from the new U.S. tax law. While future market conditions are often difficult to predict, I can confidently predict that Agilent will outgrow the market in any encountered market conditions. A few closing comments before I hand off the call to Didier. First, I'm very pleased with our start to 2018. Following our stellar year in 2017, the Agilent team continued to deliver a differentiated customer experience, a great product portfolio and excellent operating results. The transformational strategies initiated we launched three years ago continue to work. We are maintaining our momentum. We are delivering on our measures of success to outgrow the market, improve operating margins and deploy capital in a balanced manner. Our One Agilent culture is built on a foundation of core values that puts the customer at the center of everything we do. Agilent's collaborative work environment enables the leveraging of the full power of our team. As a result, our team provides a superior customer experience while focused on operational excellence, a combination that allows us to produce results. We continue our commitment to our Agile Agilent program. This transformational initiative continues to streamline the company's operations and drive efficiencies. Our portfolio transformation and innovation engine continues to provide our customers with truly differentiated technology and solutions. Our innovation efforts are complemented by a focused M&A strategy. Our portfolio of offerings is second to none and will continue to strengthen. As evidenced in our track record of impressive results, Agilent has started 2018 with strength. The results speak for themselves. It's what gives me the confidence to tell our team the best is yet to come. Thank you for being on the call. And I look forward to answering your questions. I will now hand over the call to Didier. Didier?
Didier Hirsch - Agilent Technologies, Inc.: Thank you, Mike, and hello, everyone. As Mike stated, we are very pleased with our Q1 performance, well over the high end of our guidance. We delivered a core revenue growth of 9.7% versus a core revenue growth of 4.8% in Q1 of last year, and our adjusted operating margin at 22.5% was up 130 basis points versus Q1 of last year. Our EPS at $0.66 was $0.10 above the midpoint of our guidance and up 25% on a year-over-year basis. Currency had a favorable impact on revenues of $32 million and $6 million versus last year in guidance respectively and an impact on operating profit of $8 million and $0 million versus last year and guidance respectively. Our operating cash flow of $215 million was 85% higher than in Q1 of last year. And finally, we bought back $47 million worth of shares and paid $48 million in dividends. I will now turn to the guidance for fiscal year 2018. We are significantly raising the core revenue growth guidance of 4% to 4.5%. The new core revenue growth guidance is 5.25% to 5.75%. Also, the weakening of the U.S. dollar since our November guidance is expected to have a positive impact of $108 million on full year reported revenue. The total impact of the increase in core revenue guidance and of the currency tailwind is an increase in midpoint revenue guidance of $165 million. As a result, we now expect fiscal year 2018 revenues of $4.885 billion to $4.905 billion. Turning to EPS. We are also significantly increasing our November guidance of $2.50 to $2.56. The new guidance is $2.62 to $2.68 with $0.04 of the $0.12 increase due to currency. We're also raising our operating cash flow guidance from $970 million to $1.050 billion. There's no change to our expectation to buy back 2.7 million shares and to maintain our diluted share count at 326 million shares. Lastly, I'll provide some insights on the impact of the U.S. tax reform. Because our fiscal year started before the enactment of the new law, we will enjoy the reduction in the U.S. corporate tax rate effective January 1, 2018. However, the negative effects, mostly the so-called guilty tax of the tax reform will not impact us until fiscal year 2019. However, because these benefits, net benefit of 2 to 3 points would only be temporary, we have decided not to reflect it in our fiscal year 2018 pro forma tax rate and now therefore maintaining the rate at 18%, as we expect this will be our tax rate in fiscal year 2019 and onwards. Finally, moving to the guidance for our second quarter. We're expecting Q2 revenues of $1.2 billion to $1.22 billion. The midpoint corresponds to core revenue growth of 4.25% on a difficult compare as Q2 of last year saw core revenue growth of 8.7%. Comparing guidance to the just finished Q1, Q1 fiscal year 2018's 9.7% core revenue growth benefited from an easier compare, in part due to the date of the 2017 Lunar New Year and a $20 million to $25 million carryover from Q4 2017 when we saw extended order to revenue conversions related to higher European and mass spec demand. Conversely, Q2 fiscal year 2018 projected 4.25% reflects the expected impact of the 2018 Lunar New Year in addition to a tough compare. As for EPS, we expect Q2 EPS to range between $0.61 to $0.63, a 7% year-over-year increase at midpoint. With that, I'll turn it over to Alicia for the Q&A.
Alicia Rodriguez - Agilent Technologies, Inc.: Thank you, Didier. Jonathan, will you please give the instructions for the Q&A?
Operator: Certainly. Our first question comes from the line of Ross Muken from Evercore ISI. Your question, please.
Ross Muken - Evercore Group LLC: Happy Valentine's Day, guys, and congrats.
Michael R. McMullen - Agilent Technologies, Inc.: Thank you, Ross and welcome back.
Ross Muken - Evercore Group LLC: Thank you. So, Mike, as you sort of look at the pacing, particularly in chemical and energy, and maybe some of the cyclically sensitive markets and how things have kind of played out so far and the momentum maybe you saw in January, I guess how are you thinking about the duration of some of this upswing? And how do you tease out kind of what's underlying cyclical and what maybe is, you either via product cycle or share or renewed focus kind of growing just above market?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. So, thanks, Ross. Great question. I can see you're still on your game after being away for a bit. So, let me start with the latter part of your question, which is I think what you've got going on here is a really nice situation in terms of both improving market conditions at the same point in time where we've been introducing some pretty compelling new offerings, whether being gas chromatography, liquid chromatography and then spectroscopy portfolio as well, and ACG. All these products are playing into an improved market environment for our chemical and energy. So, I don't think we're just keeping pace with the market in terms of our performance in the chemical and energy with these double-digit growth rates we've seen. I think we're also obviously picking up some share as well. But it is a nice situation to be in in terms of both strength of portfolio and improved market conditions. Ross, I've kind of given up the idea of any kind of long-term view of these markets having been burned in the past on that. So, what we've been saying is, the positive momentum is there. I have a hard time, sometimes, with that word. But for next quarter or two, we have pretty good line of sight in that business. We would expect to maintain the momentum we have been seeing in the chemical and energy space. And I think what's been different over the last quarter is, we're seeing the growth across all three segments now that are investing in CapEx both on the expiration now in addition to what have been growth in the chemical side as well as refining. So, again, I think the outlook we kind of thought about relative to our guidance is in the next quarter or so. And we'll kind of keep an eye on it as we go forward.
Ross Muken - Evercore Group LLC: And maybe just on the balance sheet, obviously, with the tax reform formalized, you now have quite a bit of access to some of that trapped cash historically. So, how should we think about your willingness to maybe do something slightly larger on the deal size? I mean, you've obviously executed fantastically well. You've kind of earned the right to maybe do something bigger or what you want. So, I guess, one, how should we think about that improved access to cash and your priorities there? And then secondarily, do you think the business can sort of take on maybe a larger and then very small tuck-in or technology deal, which is what you've done maybe over the last 12, 24 months?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, happy to answer that question, Ross. I'll leave the timing of when we think we may be able to get access to the overseas cash. I think we're still working through that right now. But what I can share with you fairly confidently is both are thinking about these, the cash and then I'll get into your question specifically relative to M&A. So, when we think about, as you probably gather from Didier's remarks that the tax reform is a positive for Agilent in terms of the access to overseas cash both on, if you will, the one-time repatriation of the cash that has been trapped, but also just an ongoing cash flow advantage back to Agilent in the U.S., but we're in no rush here. We're going to be disciplined with how we use the cash. The priority will remain M&A and capital expenditures, which is really to invest in the business. And as you've heard me talk before, we remain committed to this balanced capital allocation policy. Now, specific to the questions around M&A, I do really appreciate your feedback. I actually believe that we have built up the capability and have now a track record of delivering on the yields we have done. So, I appreciate that feedback. And our primary focus has been on bolt-ons as you know, where the prices for the deal for Agilent have been in the several million to several hundred million dollar range. But right now, as I had mentioned before, we're open to larger acquisitions but they still have to align with our long-term strategic intent, gaining more growth and earnings expansion for the company. And so, while we don't have a predetermined number, we're going to continue to be disciplined and selective. But I do believe the company is in a position that it could consider something larger than we have done in the past, both in terms of based on the operational results we've delivered as a company, but with inside the company we have really grown these muscles and really know how to make these things work with inside the company.
Ross Muken - Evercore Group LLC: Great. Thanks, Mike, and congrats.
Michael R. McMullen - Agilent Technologies, Inc.: Thanks.
Operator: Thank you. Our next question comes from the line of Tycho Peterson from JPMorgan. Your question, please.
Tycho W. Peterson - JPMorgan Securities LLC: Hey, thanks. Mike, I want to dig into the pharma numbers here. Nice recovery. Obviously, there was a fair amount of noise coming out of last quarter around some of the deferred revenues in Europe and the replacement cycle, and the NASD lumpiness. So, can you maybe just talk a little bit about the pickup in pharma, how much of that you think is just catch-up from last quarter versus sustainable acceleration here?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. So, thanks, Tycho. And as you may recall from our last earnings announcement, there's one area of concern I'd picked up in the call was, hey, is there something going on with Agilent's pharma business? And at that point in time, we described the situation where we had a very strong incoming order rate, but there many of them were longer lead-time products from an order to a revenue standpoint. And that's exactly what happened. We guided for growth in pharma. I think there was a lot of questions about whether or not that actually would occur after coming off a 5% decline in Q4 2017. And the quarter developed exactly as we had thought. So, what I would tell you is that we have roughly $20 million to $25 million of revenue that was basically in backlog in Q4 that we shipped them, most of it, in this first quarter. So, I think we're right on our view of the overall growth for pharma for us, which is in the mid single-digit. So, I wouldn't want to imply that there's an acceleration of growth, but I think we continue to be very confident in our ability to make the numbers we committed to. And we saw both strength in biopharma and the small molecule side of pharma for us. So, we really were pleased with the numbers we put up in the first quarter in pharma.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And then on DGG, I know you had a tough comp there. It did decelerate a little bit sequentially. Anything to call out there? Still up year-over-year, but just wondering if there's anything from an end-market perspective you can call out for DGG.
Michael R. McMullen - Agilent Technologies, Inc.: You want to take that one, Jacob?
Jacob Thaysen - Agilent Technologies, Inc.: Yes. So, yeah, you're right, Tycho, that we had another strong quarter on the top line growth with 8% growth. And we're very pleased with that. We saw very strong growth from our pathology and our companion diagnostics business from a margin perspective. We have five divisions, and the mix continues from (23:49) quarter-to-quarter. So, the long-term view is still intact and we were actually expecting to be in this level. So, there's nothing from the market perspective that impacted our performance.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. And if I could just ask one last one on Lasergen, that's coming up in terms of you guys making a decision. Anything you can tell us at this point or do we have to wait couple of weeks here?
Jacob Thaysen - Agilent Technologies, Inc.: Yeah. So, what I would share with the audience – thanks for the question, Tycho. We continue to be very pleased with the progress that Lasergen is making on the program. And as you may know that we have a pre-negotiated deal structure, which would allow us to exercise a call option in March. And I think that's probably all I'm going to say at this point in time beyond the fact that the time of the exercise does fall in the period covered by our 10-Q. And if there would be an exercise, you would note that it'd be in the 10-Q. And just as a reminder, we're thinking about Lasergen along the lines of any other acquisition. So, it's not been considered in how we guided for the rest of the year. But, again, we continue to be quite pleased with how the program has been progressing.
Tycho W. Peterson - JPMorgan Securities LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Jack Meehan from Barclays. Your question, please.
Jack Meehan - Barclays Capital, Inc.: Good afternoon, and Happy Valentine's Day, as well.
Michael R. McMullen - Agilent Technologies, Inc.: Same to you, Jack.
Jack Meehan - Barclays Capital, Inc.: So, you have a great cadence of new products coming to market. I was wondering if you could just give us a sense for how much that was contributing to growth in the quarter and within that, maybe an update on the Ultivo cycle and how things are going.
Michael R. McMullen - Agilent Technologies, Inc.: So, I'll take the first part of that and then I know Patrick would just love to talk about what's going on with Ultivo. That's really a tough question for us to answer, and I'm not trying to dodge the question. We don't really have a quantitation along those lines. I would just say it's part of the story. We know that – if you've been noticing the growth rates of Agilent over the last three-plus years, the growth rates are accelerating. And what's been going on at the same point in time is our cadence of new product introductions has also been accelerating, because in the earlier phases of what we were calling then the new Agilent, we're basically redoing a lot of our product roadmaps. And now, we've got them redone and we're actually executing and delivering. So, I'd say it's a major contributor, but I really can't provide a level of quantitation on that. Patrick, would you like to share some insights on what's going on with Ultivo?
Patrick Kaltenbach - Agilent Technologies, Inc.: Sure. Thanks, Mike. Yeah. So, on the Ultivo product, and to what Mike said, all these new products drive a lot of good momentum for us in our end markets. And if you take Ultivo, for example, which we started shipping last quarter, and I'm happy to report that it's well ahead of our own plan in terms of ramped volumes, and we're really pleased with the acceptance that we own in our own field by the customers. We get excellent feedback from the first installations out there, and it's driving a lot of excitement about our product portfolio. So, it's not only driving the Ultivo volume itself, it's also driving a lot of collateral business for us in the LC/MS business. And I think this pipeline of new products that we have launched over the last two years is a major contribution for us, in our trajectory right now, we're taking market share.
Michael R. McMullen - Agilent Technologies, Inc.: And, Patrick, if I remember our conversation from this morning, it's both in our expectations relative to unit growth as well as price per unit. So...
Patrick Kaltenbach - Agilent Technologies, Inc.: Absolutely.
Michael R. McMullen - Agilent Technologies, Inc.: ...it's been a nice initial story.
Jack Meehan - Barclays Capital, Inc.: Great. And then in chemical and energy, I was wondering if you could just give us an update in terms of what's built in the guidance for 2018. Obviously, the macro picture continues to be robust. In 2Q, is there anything Lunar New Year-wise that we need to consider there? Just, thanks, any feedback would be great.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. Let me make a few comments here. So, there is somewhat of a Lunar New Year. And I told Didier earlier, so I'd hope at one point in time one quarter I won't have to talk. Every year, we seem to talk about Lunar New Year, but this is a reminder for the audience. What happened here is the way the Lunar New Year fell this year, many customers actually wanted shipments of products before they left for the holiday. So, we had some revenues that we thought were going to be in the second quarter that actually showed up in China in the first quarter. On the chemical energy, I wouldn't say that's material at the company level, however, but there's a portion of the business that's impacted. We think about the overall guide for the year, I think we're probably – if you think about our guide, the midpoint of 5.5%, I think you could probably put us 6%, 6-plus-percent, 6%, 6.5% for chemical and energy. And, again, we're expecting a continuation of the momentum, albeit we're starting to go into a period of tough compares, because, as I mentioned in my call, it's now been four quarters in a row of double-digit growth. And now I have to compare my growth against those hot numbers. But, again, the market environment continues to be positive in chemical and energy, and we're kind of in the 6-ish range for the year.
Jack Meehan - Barclays Capital, Inc.: Thanks, Mike.
Operator: Thank you. Our next question comes from the line of Steve Willoughby from Cleveland Research. Your question, please.
Michael R. McMullen - Agilent Technologies, Inc.: Hi, Steve.
Operator: You might have your phone on mute.
Steve Barr Willoughby - Cleveland Research Co. LLC: Yeah. Can you hear me now?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, we sure can. Go ahead, Steve.
Steve Barr Willoughby - Cleveland Research Co. LLC: Hey, guys. Two questions for you. First, Mike, just was wondering if you could comment at all about the kind of pricing and promotional environment of late in some of your analytical instruments. Are you seeing any changes as it relates to pricing either from some raw material inflation or just from a competitive standpoint? And then I guess secondly, it kind of goes along with that. You made the comment that you feel like you're outgrowing the overall market. Just was wondering, is there any particular areas of notable strength that you feel like you're really outgrowing the market as it relates to the different product categories you're in?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, sure. Happy to address both questions. So, there's been a lot of talk about the inflation, inflationary concerns. And it's put a drag on the market, as you know, at the time of release, introduced a level of volatility in the market we haven't seen for a while, but we're not seeing that in our market. So, of course, the markets are very competitive. There're certain competitors who tend to focus more on price than we do. But, Patrick, I think it's pretty fair to say that we're really not seeing a lot of real changes in discounting practices or pricing structures in the marketplace. And that's why I'd actually asked – I pointed out earlier, for example, in our new product category that we just introduced, we're actually doing better on the ASP side than we had actually anticipated. So, we're feeling pretty comfortable about where the price points are. (30:47)
Michael R. McMullen - Agilent Technologies, Inc.: And, yes, yes, sorry. Yeah. So, in terms of market share, we look at the macro numbers and said okay, we know our growth rate's higher than our peers, and then we kind of peer into the different product categories. I think we have a good handle, particularly on our LSAG instrument side because we're able to compare ourselves through and externally, if you will, an independent source of data, ALDA. And we can see where our market shares are really picking up. And I think it kind of spilled out a bit in my narrative, but mass spec was strong double-digit growth; chromatography, spectroscopy, these are places where really we can say confidently we're picking up share relative to the competition. But at the same point in time, even though we don't have the same stats, we know in DGG, on the pathology side we continue to pick up share growing there. So, it's been a sort of a broad-based story, but in particular we can talk with a lot of confidence because we have external data around our instruments.
Steve Barr Willoughby - Cleveland Research Co. LLC: Okay. Thanks very much, Mike. I appreciate it.
Michael R. McMullen - Agilent Technologies, Inc.: Thanks, Steve. Thanks for participating on the call.
Operator: Thank you. Our next question comes from the line of Puneet Souda from Leerink. Your question, please.
Puneet Souda - Leerink Partners LLC: Thanks for taking my question. So, first one is maybe for Patrick or Mike. Just trying to understand what was the really strong in mass spec area in LSAG? So, what sort of products that are driving the growth here and what end markets? And if Patrick could give those details. And if you could also help me understand how much of that was revenue recognition from the last quarter and how much of that was the contribution into this quarter. And then I've a follow up.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, Puneet. Thanks for that question. And Patrick, if you don't mind, would you mind taking that one?
Patrick Kaltenbach - Agilent Technologies, Inc.: Yeah, I'll kick it off. So, when you look at the LC/MS space, we definitely have seen the strongest growth in the Quadrupole space, meaning single-quarter and triple-quarter. And a lot of that was driven by the product launches we made last year at ASMS. We introduced the Ultivo, we also introduced a new single-quad product, both drive healthy growth for us in LC/MS. And in terms of growth that drove in revenues in Q1, yes, some of it was driven by the strong order growth we had in Q4 last year, but we see a continued momentum behind these products. So, I'm not concerned on the outlook of these products. The funnel looks pretty healthy. When you look at the end-market space, as Mike mentioned that pharma is doing very well for us in the LC/MS, but we also see it in Applied Markets like in food analysis where this product is heavily used.
Puneet Souda - Leerink Partners LLC: Okay. That's very helpful. Thanks. And then a second question that I have is, we saw a large set of promotions that were running on both instruments and consumables in the LC business. The consumables are no surprise to me, but instrument discounts were intriguing at the end of first quarter where it seemed like the benefit looks to land in fiscal second quarter. Hoping to see if you can elaborate something on that. And essentially if there are drivers, what were the drivers of those promotions? And if there was any benefit in 1Q from that and how should we think about the second quarter fiscal in light of those promotions?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, Puneet. Thanks for that insightful question. And this is a general statement. We tend to run promotions on a regular basis. And this is part of our mix when we're trying to target certain areas or certain geographies or certain market segments. And then, we have gone down a path of promoting, if you will, the entire solution and not just picking an element of a particular purchase that a customer would be interested in. So, I think it may be a specific question about, maybe you can comment specifically, Patrick, about what's going on in the liquid chromatography area between you and Mark on the column side.
Patrick Kaltenbach - Agilent Technologies, Inc.: Yes. Yeah, I think what we're really doing here is, we are leveraging the strength of both instrument and the aftermarket business in the consumables. When we launched last year the Infinity brand LC consumables as well, we thought it's also now a product that really put some stronger campaigns behind it, again, as Mike said, this is nothing unusual. We do this really to extend our market region, we try to reach customers which potentially have not considered Agilent in the past, like at the lower end of the portfolio is what you have seen there. So, it's not a strong discounting account across the entire portfolio. We're really trying to target also entry-level systems and customers who want to benefit from the Agilent performance and quality of our instruments and aftermarket solutions that have not considered us today. And this was part of that promotion you probably referred to.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, I mean, the strategy here is really to get new incremental growth, new customers, not sell to existing customers at a lower price point.
Puneet Souda - Leerink Partners LLC: That's great. It looks like you guys are winning there. So, thanks again. Thanks for taking my question.
Michael R. McMullen - Agilent Technologies, Inc.: You're quite welcome.
Operator: Thank you. Our next question comes from the line of Paul Knight from Janney Montgomery. Your question, please.
Paul Richard Knight - Janney Montgomery Scott LLC: Hi, Mike. Can you talk about...
Michael R. McMullen - Agilent Technologies, Inc.: Hey, Paul.
Paul Richard Knight - Janney Montgomery Scott LLC: Hey, congratulations on the quarter.
Michael R. McMullen - Agilent Technologies, Inc.: Thank you.
Paul Richard Knight - Janney Montgomery Scott LLC: I want to save Valentine's Day for other people, but regarding where you are in the stage of your operating margin expansion, can you detail some of the efforts ahead and are you in inning one or two or three of that margin expansion program? And then secondly, regarding I know CrossLab has been part of your strategy to take share. What's your visibility? Is this the multiyear share gain still ahead for you?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, what I'm going to do is, I'll take – by the way, thanks for the comments, Paul. I'm going to go ahead and take the first question. And Mark, if you could pick up the second question on ACG's longer term outlook. So, in terms of the margin expansion, we were really just delighted to see the 130 basis points of improvement in Q1. And as you may recall, we had a bogey we had put out last year to hit 22%. And I told us, listen, that's just a milestone along a longer journey of continued margin improvement. So, fundamentally, we think that we can continue to improve operating margins about a 35% incremental moving forward. And then to your question, we have some real specific programs lined up. So, I mentioned in my remarks about our Agile Agilent program and we're still finding ways to simplify the company, streamline the company. A lot of the focus now is in our back office operations as well as how we handle the incoming orders from customers. We have still a very manual process. And we think that we can really automate that, and we have what we call a touchless transaction initiative inside the company. And, again, I think it leads to more seamless customer experience and increases our velocity of transactions we handle. And we don't have to continue to add people at the same rate as revenue. So that's one area of focus for example. The second area, and I think is actually much more significant in terms of P&L impact is the initiatives that we have underway in our order fulfillment organization. So, the evolution of that was phase one was really about moving products into lower cost geographies . And now phase two is really heavily focused on three aspects, which is, one, is focusing on the material costs for the company which last time I looked was well over $900 million of purchases. We're in the midst of a major transformation of our procurement organization and how we engage and work with suppliers. And it's already starting to translate into some lower costs, while maintaining – or in some cases, even improving quality. We have a major initiative of value engineering, where we basically use our engineering prowess to reengineer certain components for lower cost while sustaining improvement of performance of the product. And the last area is logistics where we continue to find ways to lower cost. And you may have caught a recent announcement, if you follow the local news in Tennessee where we have made a major move to insource logistics from FedEx in Tennessee. So that will also be one more example of things we're doing in the supply chain to lower cost. And then the third thing I would just say is, in general, across the entire company we have this continuous process improvement mindset where we continue to find ways to streamline what we do to make it more efficient and make people's work inside the company more enjoyable while also having the great benefit of doing a better job for our customers, and obviously the P&L. So, I think those things are sustainable. I think we're still in middle innings, if you will, on this. We haven't run out of ideas and we think we continue to sustain this performance. Mark, in terms of sustaining performance, perhaps you can share with Paul and the audience your thoughts about the long-term growth prospects for ACG.
Mark Doak - Agilent Technologies, Inc.: Thanks, Mike, and thanks Paul for the question. Obviously, we're very pleased with our ongoing very consistent high single-digit growth performance. And we're confident in our ability to grow. And it's not just from a market share gain perspective, it's also bigger account penetration into our current accounts and also portfolio expansion. And Mike alluded to this at the beginning of the call, what's fundamentally been a growth driver for us. And we saw accelerating growth throughout the remainder of 2017 and now into 2018 has been our consumables portfolio. This started well over a couple years back. And there's never going to be a single big product area inside our consumables business that that'll drive top line, but over the course of FY 2017 we added over 1,000 new products into our portfolio. And as you probably can guess, those then get pushed through our channels, our expanded e-channel reach and then ultimately they have long-term annuity streams that in many cases last over a decade. So, I'd say across the board, if we look at it from our enterprise business, our instruments service business and our consumables business, we continue to see great opportunity to continue to grow across those dimensions that I just mentioned.
Michael R. McMullen - Agilent Technologies, Inc.: And we're by no means done yet, right?
Mark Doak - Agilent Technologies, Inc.: By no means. Yes, by no means.
Paul Richard Knight - Janney Montgomery Scott LLC: Great color. Thank you.
Michael R. McMullen - Agilent Technologies, Inc.: Thanks, Paul. And Happy Valentine's Day.
Operator: Thank you. Our next question comes from the line of Derik de Bruin from Bank of America Merrill Lynch. Your question, please.
Derik de Bruin - Bank of America Merrill Lynch: Hi, good afternoon. I jumped on a little bit late. So, my apologies if I'm...
Michael R. McMullen - Agilent Technologies, Inc.: Hey, Derik. No problem.
Derik de Bruin - Bank of America Merrill Lynch: Hey, I'm not going to wish you a Happy Valentine's Day, though.
Michael R. McMullen - Agilent Technologies, Inc.: Okay. I'm hurt, I'm crushed, Derik.
Derik de Bruin - Bank of America Merrill Lynch: You can be mine. There you go. So, I'm just curious about sort of like the pacing. I mean, obviously you gave guidance in mid-November, and then I think we all were sort of feeling a little bit conservative on – I think we all assume are being a little bit conservative, but I think the quarter's results were a little bit above and beyond certainly what even the most bullish people were thinking. So, what was sort of happening in the pacing in December/January? Was it bigger budget flush than normal, just better order trends? I mean, was there any sort of inflection that you saw in terms of the outlook?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. Great question, Derik. And I think what we saw was, overall, if you look at the strength which really surprised us was, we saw stronger than forecast growth in academia and government. We weren't expecting that kind of number, 11%. Chemical engineering we knew was going to be good, but we didn't think it was going to be that good. And in Europe, we knew it would be good, but not that good. So, I think things just came in stronger than we forecast. The year-end budgets were there. So, we had a lot of order strength coming into the calendar year. And we were able to turn a lot of that into revenue in the first quarter. The one that we hadn't anticipated in addition to those points I just made relative to the market environment was, customer behavior in China, which is, what we had was a timing issue or we had some Q2 revenue pull in from the Lunar New Year because typically customers want their products, says, ah, Lunar New Year, we'll deal with this after we come back. But for some reason, this year, which I can't really explain, they were looking for products to be taken earlier. So, we actually had more revenue in China. I mean, we had upper teens growth in China for the quarter. We think China's still going to be a source of growth, high single digits, maybe 10-ish for the year, but it won't grow upper teens like it did in Q1. So, I think of all the things that one I think we hadn't anticipated from a standpoint of different customer behavior in China, although we didn't think the budget would be as strong as well in certain market segments. So, it was a quarter where everything came together very, very nicely. And we're happy with the numbers.
Derik de Bruin - Bank of America Merrill Lynch: Okay. So then China pull forward, and then maybe a little bit from the Easter holiday, although and for the timing of that that's sort of the basis for the 4.25% core guide for the next quarter?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. And Didier, I forget as to how much we had estimated might have been pulled in from the China?
Didier Hirsch - Agilent Technologies, Inc.: About $10 million.
Michael R. McMullen - Agilent Technologies, Inc.: About $10 million. And then – oh, sorry. Let me try that again.
Didier Hirsch - Agilent Technologies, Inc.: So, yeah, about $10 million we have pulled in and then we'll have another $10 million feed because of the Chinese New Year in Q2.
Michael R. McMullen - Agilent Technologies, Inc.: Right.
Derik de Bruin - Bank of America Merrill Lynch: Okay. Thank you. That's very helpful. Just one other follow-up question. This is actually another China question. I noticed on your slide deck you launched this Value line of consumables for China. And just can you talk a little bit more about that? Maybe I just missed it. I wasn't familiar with that as something going on and sort of talk about that and is that something that's applicable more globally?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, I think I'll have Mark make some comments here. So, this is relatively your closed study of the company, because it's relatively new introduction for the company. So, Mark, why don't you share with Derik your thoughts about what's going on in China and whether or not this model may play out in other geographies.
Mark Doak - Agilent Technologies, Inc.: Hi, Derik, Mark. As far as China is concerned, we've gone on record that we wanted to look specifically at China's marketplace, look at a portfolio that's fine-tuned to China. And our Value line offering in China was to address customers who are still looking for higher quality, but not quite as much capability in our supplies in chemistries business. And we're obviously very pleased with the initial results of this and extending that portfolio. At this juncture, we certainly see the opportunity to move this to other areas where we could see the same value proposition, whether it be parts of Southeast Asia or India. We're not ready quite to pull the trigger on that, but our primary focus is China, just because of the enormous market opportunity there. But that was the intent with this Value line is, same quality they expect from Agilent that at a performance that's relative to the tests they're trying to accomplish there.
Michael R. McMullen - Agilent Technologies, Inc.: And, Derik, I would just add. We don't see this as cannibalizing our current business, we actually see it as an addition. I think there was some concern, oh, we've introduced new product, are we going to cannibalize our own business? This is type of segment we're not able to address right now. So, we're pretty excited about this.
Derik de Bruin - Bank of America Merrill Lynch: Great. Thank you, Mike.
Mark Doak - Agilent Technologies, Inc.: Mike, just go ahead and reiterate that comment, it really has been a bolt-on to our current business in China.
Operator: Thank you. Our next question comes from the line of Patrick Donnelly from Goldman Sachs. Your question, please.
Patrick Donnelly - Goldman Sachs & Co. LLC: Great, thanks. Maybe one for you Mike. On Intuvo, has your view changed at all on that adoption curve trending, probably the sharpest acceleration hitting maybe three years into the launch? And then, now that we're 18 months into the launch, are you seeing more customers come back with multisystem orders?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, absolutely. So, speaking for Patrick, I'll jump right on this one, which was, we are starting to see repeat orders and multiunit purchases of Intuvo GC, particularly in high throughput applications where they're also using mass spec. So, it's playing out just as we thought it would. But I will tell you it takes the customer some time to understand exactly what it is we've delivered to the marketplace. I can just share with you firsthand, last week I was in India and I sat in on a seminar with some of our key VIP customers who are very knowledgeable in gas chromatography and they had a lot of questions and there had been some hesitation because it was so new, but once they had opportunity to really understand it and see it, really see how unique the innovation here is. And, in fact, one of the customers said, listen, gas chromatography has been sort of the same way for decades, this is really quite something different and you really have changed the thinking about innovation. It really is easy to use. So, customers who have it have been really pleased, and we're now starting to see repeat buys and multi buys, so, that ramp rate is starting to occur.
Patrick Donnelly - Goldman Sachs & Co. LLC: Okay. And then how should we be thinking about potential larger scale pharma M&As impacting? I mean, I assume there would be a pause in the instrument purchases, but could that actually be an opportunity on ACG to accelerate growth just with the operations in productivity side?
Michael R. McMullen - Agilent Technologies, Inc.: That's exactly the answer. You've got it. So, we've been through these kind of cycles before, but we're actually – if, in fact, they would occur, but the company is in such a different position than it was during some of the other bigger consolidations we've seen in the past. So, yeah, you would have a pause on new instrument purchases. At the same point in time, it'll create new opportunities for us in the ACG business as it relates to both enterprise services, relocation, also refurbished business units. We'll probably get very actively involved in taking some of the excess equipment that customers may have and taking it back into Agilent and redeploy in other set market segments. So, we're not overly concerned about this. And we've also found historically when there's been merger and acquisition where they tend to want to consolidate or put more spends on to a fewer vendors, it plays to our strength, really reliable equipment that has high performance and really has a cost of ownership advantage to them. So, I think the ACG story is one thing that really allows us to say, if this would occur, it'll be mitigated by some of the change we've made in terms of the company's portfolio and capabilities we offer to the marketplace.
Patrick Donnelly - Goldman Sachs & Co. LLC: Helpful. Thank you.
Operator: Thank you. Our next question comes from the line of Brandon Couillard from Jefferies. Your question, please.
Brandon Couillard - Jefferies LLC: Thanks. Good afternoon.
Michael R. McMullen - Agilent Technologies, Inc.: Hi, Brandon.
Brandon Couillard - Jefferies LLC: Mike, a question about the government and academic segment. I mean, two straight quarters of double-digit growth. Could you give us a sense of how that looks geographically and what areas you think you're gaining share and if it's something you changed commercially that might be contributing to that?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. So, the funding environment has been improved in Europe and has remained strong in China. So, geographically, we're pointing to Europe and China as the source of strength for academia and government. But your intuition was spot-on, which is we've really fundamentally changed the commercial approach to this marketplace. And that's why it is always hard to predict market share gains when you're doing your guide and your forecasts. But I think that's one of the reasons why we're seeing such strong growth because what we've done is we fundamentally have – we reorganized our academia and government channel. And I think that would be in quotes because a couple years ago, it was a very fragmented approach to these university and government market. Now we have one focus channel backed up by a company-wide academia program supported by a number of initiatives such as our Thought Leader Awards and other access programs we had with our Agilent Labs. So, this combination of a new go to customer model in academia and government backed up by some new company level programs I think is starting to yield dividends.
Brandon Couillard - Jefferies LLC: Super. And then one more. In terms of the Nucleic Acid Solutions facility expansion, just want to check and see if there's many change in the timeline. And when do you plan to start the validation process? And how long does that take?
Michael R. McMullen - Agilent Technologies, Inc.: Great question. It's actually very timely, as we just had a review on that just a few hours ago. So, Jacob, if you can remember the details perhaps you can handle that question.
Jacob Thaysen - Agilent Technologies, Inc.: Yeah, absolutely. And we are pleased to report that we continued to move forward according to our expectations meaning that our validation efforts will start in early next year and then continue. We actually believe it will take quite a while. This is a unique setup we have. So, validation will take a while to get through. It's not something that happens within a few months, but over a period of time. And we do believe that would be all done by end of next fiscal year. And then start to see revenue into 2020, sometime in 2020. Hopefully a little bit in 2019 too.
Michael R. McMullen - Agilent Technologies, Inc.: A little bit of 2019, I was just checking our notes.
Jacob Thaysen - Agilent Technologies, Inc.: That's right. I'm buffering my expectations, but yeah, right into 2019, we would start to see revenue.
Michael R. McMullen - Agilent Technologies, Inc.: But we're really feeling happy about where we are. We just had a very detailed review of the production progress. We're pretty much almost done the construction side of the production. Capabilities are bringing on and then we'll start moving into, as Jacob mentioned, validation.
Brandon Couillard - Jefferies LLC: Very good. Thank you.
Operator: Thank you. Our next question comes from the line of Doug Schenkel from Cowen. Your question, please?
Ryan Blicker - Cowen & Co. LLC: Hi. This is Ryan on for Doug. Thanks for taking my questions.
Michael R. McMullen - Agilent Technologies, Inc.: Very well.
Ryan Blicker - Cowen & Co. LLC: Really strong Q1 in bumping up guidance pretty significantly for the full year, despite comps getting a bit tougher as you talked about. Can you confirm that your overall guidance philosophy hasn't changed? I guess, what I'm getting at is, if end markets continue to hold up as expected, do you still feel there's plenty of room for you to do better than your revised guidance as has been the case for the past couple Q1s?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. Thanks for the recap of the guide. And you're exactly right. There's been no change in our thinking about how we guide the company. And I tried to call that out in my script, and I think I used the word we'll continue to take a quarter-by-quarter look. And we stand ready to raise our full-year guidance as business conditions remain favorable. And that's what we'd said for example the Q4 of 2017. And that's exactly what we've done here in this first quarter.
Ryan Blicker - Cowen & Co. LLC: Excellent. And then maybe one on cell analysis. You've called out cell analysis as a key growth driver over at least the past few quarters.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. You noticed. You noticed.
Ryan Blicker - Cowen & Co. LLC: How much annual revenue do you have in this area now including the recent Luxcel acquisition? And is this business still growing 15% to 20%, which I think is what you called out around the acquisition of Seahorse?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. We don't report directly the specific numbers around the vision of the company. But I think you can probably gauge the relative size if you can go back and look at what we said at the time of the acquisition of Seahorse Bioscience. And it is growing in the ranges you just described.
Patrick Kaltenbach - Agilent Technologies, Inc.: Absolutely, yeah.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. And Patrick thinks it'll grow faster with Luxcel now? I guess, we can tell them, right?
Patrick Kaltenbach - Agilent Technologies, Inc.: Well, that's the plan, yes.
Michael R. McMullen - Agilent Technologies, Inc.: Okay.
Ryan Blicker - Cowen & Co. LLC: Excellent. Thank you.
Operator: Thank you. Our next question comes from the line of Emily Stent from Robert W. Baird. Your question, please.
Emily G. Stent - Robert W. Baird & Co., Inc.: Hey, guys. Thanks for taking the question.
Michael R. McMullen - Agilent Technologies, Inc.: Sure, Emily.
Emily G. Stent - Robert W. Baird & Co., Inc.: Looking at the final market, we've heard about massive job cuts at Teva. What's your opinion on the overall help of generics market? And what's your revenue exposure to these customers, and Teva, specifically? And then could you break out what you saw in recurring pharma revenue versus instrument?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah, sure. Happy to address a number of points that you've asked about. So, first of all, I can just share with you, I think Teva is a company-specific challenge, not an indication of what's happening in the macro market environment. And I mentioned earlier that I'd been in India, and, of course, the generic industry is quite important in the Indian marketplace. And I was with a number of executives from generic pharma companies, and they're really excited about where things are going. I think there's something like $50 billion worth of new drugs coming off of patents in the next two years, on the small molecule side. They're making a lot of investments in biosimilar. So, that marketplace is very healthy. And I think Teva is going through some of its own internal challenges, but I wouldn't say that's indicative of the overall marketplace. They are a customer of ours, but I think it's not material at the company level in terms of the business volume there. And then I believe the instrument aftermarket ratios are fairly dissimilar in pharma as they are in the rest of the company, maybe – yeah, yeah, which is probably in the range of 55% or so aftermarket, 45% upfront. Hope that helps.
Emily G. Stent - Robert W. Baird & Co., Inc.: Great. Yeah. Thank you very much.
Michael R. McMullen - Agilent Technologies, Inc.: Hmm-mm.
Operator: Thank you. Our next question comes from the line of Dan Arias from Citigroup. Your question, please.
Daniel Arias - Citigroup Global Markets, Inc.: Good afternoon, guys. Thanks.
Michael R. McMullen - Agilent Technologies, Inc.: Hey, Dan.
Daniel Arias - Citigroup Global Markets, Inc.: Hey, Mike. I think you guys got the high points here, so, maybe just one for me on the segment margins. LSAG was up pretty nicely in the quarter. Do you think you'll continue to stay at that 100 bps to 200 bps range, just given what seems like there's some good leverage potential there. And then, I guess on the flipside, where do we think about DGG margins going, just given the step down for the quarter?
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. So, I'll make some initial comments and then invite Patrick and Jacob into the discussion. So, I just saw exceptional performance in LSAG with 11% growth. That really shows you when we get to top line, we get a lot of leverage in the margins there. And as we mentioned earlier, we think the pricing is holding up. So, we're pretty confident about the margin going forward. I don't think we can expect that level of improvement every quarter, would be my guess, Patrick.
Patrick Kaltenbach - Agilent Technologies, Inc.: You'll not see the same level of improvement for sure. But, again, to your point, is what we definitely see is that the new products have better gross margins. They are very competitive in pricing, which is, again, driving a lot of it. And when the volume picks up, as we have seen the last quarter, then you get these exceptional results.
Michael R. McMullen - Agilent Technologies, Inc.: Right. I think it also shows our business model side of the company. Hey, when volume picks up, we don't go on a spending spree here. And that's how we can get the margin expansion. And I think it's important, maybe as we shift over to DGG, is, there's a lot of puts and takes each quarter in DGG given just the nature of the business. And so, again, we've had a great run in terms of margin expansion and we think we're going to be in a solid position as we begin exit 2018. But perhaps maybe just a little bit more insight in terms of how you think about where you are on the margins, Jacob.
Jacob Thaysen - Agilent Technologies, Inc.: Yeah. Thanks, Mike. And as mentioned before, we came in low. We always do that in Q1 since we have a strong run rate business and very dependent on the number of days in the quarter. But at the same time, we have a relatively high fixed cost space. This is the impact you will have in Q1. And we have that basically every year. And then there is, on top of that, some mix that can move from one quarter to the other. And that is really what you have seen in this quarter, but overall came in as expected.
Michael R. McMullen - Agilent Technologies, Inc.: Yeah. Thanks, Jacob.
Daniel Arias - Citigroup Global Markets, Inc.: Okay. Very good, guys. Thank you.
Michael R. McMullen - Agilent Technologies, Inc.: All right. Thanks, Dan.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to happen the program back to Alicia Rodriguez for any further remarks.
Alicia Rodriguez - Agilent Technologies, Inc.: Thank you, Jonathan. And on behalf of the management team here in Agilent, we'd like to thank you all for joining us today. If you have any questions, please give us a call in IR. Thanks, again.
Operator: Thank you, ladies and gentlemen for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.